Operator: Ladies and gentlemen welcome to the iHeartMedia Q1 2021 Earnings Call. My name is _ and I will be coordinating your call for you today. [Operator Instructions]  I am now going to hand the call over to your host Mike McGuinness, Executive Vice President, Deputy Chief Financial Officer and Head of Investor Relations at iHeartMedia. Mike please go ahead when you are ready.
Michael McGuinness: Good afternoon, everyone, and thank you for taking the time to join us for our first quarter 2021 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. Please note that addition to our press release, we have an investor presentation that you can use to follow along with our remarks. Before we begin, let me quickly cover the safe harbor statement on Slide 2. During this call, we will make forward-looking statements, including the current and expected impact of COVID-19 on the company's liquidity, financial position and results of operations. These estimates are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could materially differ from these expectations and assumptions. And these risks and uncertainties are discussed in more detail in our filings with the SEC.  During this call, we will refer to certain non-GAAP financial measures. Reconciliations between our GAAP and non-GAAP financial measures can be found in our earnings release or in the investor presentation available on our website. And now I'll turn the call over to Bob.
Robert Pittman: Thanks, Mike, and good afternoon, everyone. Thank you for joining our first quarter 2021 conference call. Before I begin, I'd like to once again acknowledge our employees around the country for their steadfast resilience this past year. COVID has presented challenges both professional and personal. And our employees hard work, innovation, creativity and dedication help the company weather an incredibly challenging 2020 and continue to make a difference in the communities they serve. Our employees are behind the momentum and strong results we're announcing today. And they've set the stage for what we believe is a full recovery to 2019 levels by the end of 2021.  For iHeart, the first quarter of 2021 was a continuation of the positive trends we've seen in the business despite the continued negative impact of COVID with the first quarter outperforming our expectations all financial metrics. We continue to see positive trends in our diverse revenue streams. Our digital business including podcasting continues its strong growth trajectory while our traditional broadcast radio business continued its sequential improvement, both aided by the recovery of advertising and the strategic investments we've made. Before we get into the first quarter results, I want to touch on a few things. First, we all see the same headlines that you do. Audio is hot. Everything in audio is growing. In fact, over the past two years streaming audio users are up 21%. Smart speaker ownership is up 50%, voice assistant users are up 23%, ear bud, headphone unit sales are up 90% and podcasts weekly listeners are up 42%. And high growth companies like Amazon, Facebook and Apple have recently announced audio initiatives. With that as a backdrop, I want to remind you that we are number one in consumer reach across all key profitable audio platforms. We create more audio content than anyone else. And we have the largest salesforce in the audio sector. Therefore we expect to continue to benefit from these trends. Now looking at how this impacts our financial performance. Our business continues its sequential revenue and profit improvement, improving month by month since the low point of Q2, 2020. Let me talk about our two big segments. The iHeart multi platform group has the greatest reach of any media company in America. And we continue to transform our capabilities to monetize that huge consumer reach using analytics and technology. The multi platform group using its unparalleled reach has been and continues to be the foundation for all our groundbreaking advancements in the audio space, including our high growth digital business. The iHeart digital audio group, which has been the focus of much of our investments over the past few years and is led by our industry leading podcast business continues its strong revenue and profitability growth. Our digital audio group revenue grew 70% in the first quarter led by podcasting which grew 142% And importantly, excluding the impact of podcasting, digital revenue still grew 55% year-over-year, demonstrating the importance of our broad digital offerings.  In the first quarter, the digital audio group contributed 22% of the company's revenue and 39% of the company's adjusted EBITDA, and importantly, did sell while increasing its margins, with first quarter margins expanding by 750 basis points year-over-year. These results are a continued validation of our multi platform product and revenue strategy, a unique scale, the cost discipline we exercised in 2020 and continue to exercise today, and the strategic investments we've made in our new growth areas like podcasting, ad tech, and the continued expansion of broadcast radio on digital devices. We believe our resource allocation decisions are proving the the right ones, as we have built a high growth digital business on top of our large ad scale stable multi platform business. By leveraging our unique position in audio and taking advantage of shifting consumer behaviors we're expanding our total addressable market or TAM beyond radio, and are targeting the approximately 20 billion sponsorship TAM, the approximately 65 billion television TAM, and the approximately 160 billion digital TAM in the U.S., which is the largest TAM and which is 10x the size of the broadcast radio town. Our leadership position in both broadcast and digital audio enabled us to create the only complete audio ad technology stack in the industry for all forms of audio on demand, broadcast radio, digital streaming radio, and podcasting. It not only generates value for all of iHeart, but it is becoming a valuable asset on its own. And the acquisition of Triton digital, which closed on March 31, significantly enhanced this platform. I'll touch on this more in a moment. Based on what we see now we feel more confident than ever, that we'll be back to 2019 adjusted EBITDA levels by the end of 2021 setting ourselves up for continued strong adjusted EBITDA grow. And with that, I'll turn to how the business performed in the quarter before Rich gets into the specifics of our financials. We are encouraged by the strong results we delivered in the first quarter despite continued headwinds from the COVID-19 pandemic. Reported revenues were down 9.5%. You may recall that during our Q4 earnings call, we said we expected revenue to be down 11% to 13% and this outperformance was primarily driven by our digital audio group. Excluding the impact of political our trend of year-over-year sequential quarterly improvement continued from down 47% in Q2 to down 25% in Q3, to down 17% in Q4, and down 7% in the first quarter of 2021. In the first quarter, we generated adjusted EBITDA of 102 million and generated free cash flow of 53 million highlighting the strong free cash flow characteristics of our business. As we announced last quarter beginning in Q1, 2021 we now have three reportable segments, the newly created iHeartMedia multi-platform and iHeartMedia Digital Audio groups, in addition to our pre-existing Audio and Media Services Group. The creation of these two segments has enabled us to strengthen the mission and tighten the focus of each group and accelerate our transformation into an even more nimble and digitally focused 21st century multi platform media company. Additionally, this new disclosure provides improved visibility into the underlying performances, results and margin profiles of each distinct business, which we hope will help the investment community better understand the size and growth of our digital audio business, as well as the value of the scale, stability, and strong free cash flow characteristics of our multi platform business. Now, let me provide some more specifics. The iHeartMedia multi platform group includes our markets group, the largest radio company in America with more than 860 radio stations in over 116 markets, our national sales organization, our events, business, our networks business, and our BIN: Black Information Network business. Our broadcast radio stations continue to lead the industry. And we're the number one radio group in audience and according to Nielsen for the 18 to 49 demographic we are ranked number one in 96 markets overall. That's more number one markets than the next two largest radio companies combined. And we see that same level of performance in the top 50 markets as well. Here's the most important fact though. The iHeart multi-platform group reaches more people every month than any other media company in America with its broadcast radio assets alone. Multi-platform group revenues were down 21% in Q1 or down 19% excluding political continuing it's sequential improvement as it recovers from the impact of the COVID-19 pandemic. Adjusted EBITDA margins were 21% down only 310 basis points from the prior year which was primarily a pre-COVID quarter. The multi-platform group consists of several distinct revenue streams. Our broadcast revenues were down 22% year-over-year and have continued to recover as the macro economic environment improves within the broadcast line smart audio, our data and views programmatic platform. Although it uses the same inventory is the rest of broadcast radio smart audio was down only 11% in Q1, highlighting the value of data and ad tech. Indeed, as we continue to add new technologies and data capabilities, our multi platform group and broadcast stations will be able to play in the fast growing digital tab. Our networks revenue was also negatively impacted by COVID-19. But we're down only 14% compared to prior year, and within networks is our premier networks business, which was down only 6% compared to the previous year. Our sponsorship and events revenues continue to be impacted by the pandemic, as we either postponed or canceled all of our in person events following the COVID-19 outbreak. However, through our commitment to be available everywhere our consumers are with the products and services they expect from us when the pandemic hit, we worked quickly to create a virtual events business, and we're the first to bring the concert experience home to our listeners. On March 29, 2020 only days after shutdown guidelines were put in place we launched the iHeart Living Room Concert for America on Fox. And we continued to innovate and bring different kinds of virtual events to our listeners throughout the year which mitigated some of the revenue loss from in person events and help reinforce our bond with our listeners. We intend to make some of these virtual events permanent, as they're both profitable, and drive high engagement across all social media and other relevant platforms. But we're also excited that we had begun to bring back in person events. As COVID-19 restrictions are being lifted we've started to plan for in person events on a case by case basis. The consumer demand is as strong as ever and we expect our iHeartRadio Music Festival in September, and the iHeartRadio Jingle Ball tour to be live and in person this year.  Now let me move to our iHeartMedia Digital Audio group, which includes our high profile and high growth podcasting business, and the iHeartRadio Digital Service, the industry's number one digital radio service with a 5x lead in digital usage over the next largest commercial broadcast radio company as measured by Triton. It also includes our websites and newsletters with their monthly audience of over 150 million unique users according to Omniture, our digital services and programs for both national and local partners, and our digital ad tech companies plus we have a leading position of over 250 digital audio platforms and 1000s of devices, including smart speakers, smart TVs, gaming consoles, and mobile devices, as well as a social footprint that includes 233 million fans and followers, which is by the way, 7x larger than the next largest audio player. As we've talked about on these calls before our digital businesses have continued their excellent track record of growth across all products despite COVID-19. As I mentioned, the digital audio group delivered another strong quarter. On a consolidated basis the digital audio group's revenues were up 70% year-over-year, and adjusted EBITDA was up 141% year-over-year, and we expect the momentum to continue for the full year.  Our podcasting business continues its strong performance for listeners, creators and advertisers. iHeart remains the number one podcast publisher leading the entire podcast industry and downloads and unique listeners further increasing our lead over the second and third largest podcast publishers according to pod track, the podcast industry's expected third party measurement source. We're also number one in podcast revenue and earnings. In March, we had 257 million downloads and we became the first podcast publisher ever to surpass 30 million unique audience in a month. And podcasting has emerged as the newest mass market audio platform with over half of Americans now reported to be podcast listeners. We have a combination of unparalleled assets that are unique to iHeart in the podcast industry and that allow us to build his show after his show. Our broadcast radio reach acts as a megaphone to promote our podcasts like no other company can and our technology and platform assets make it easy for talent to create shows and process to monetize them. All of this makes us the first stop for most podcast creators, and it's why we've been able to continue our output of high profile podcast, including our ventures with Will Ferrell's Big Money Players Network, Malcolm Gladwell's Pushkin Industries, Bobby Flay, Hillary Bill and Chelsea Clinton's podcast, Sean DeLand, from Shonda Rhimes, Black Effect Podcast Network with Charlemagne tha God and many others, as well as building hit podcasts from talented newcomers. This past year podcast audiences grew across an array of genres, from comedy to pop culture to true crime to food and fashion and of course, sports. In a year when it wasn't clear how athletes would compete and how fans could connect iHeart with the listener in the front row, delivering the best sports coverage in the country with radio superstars like Colin Cowherd and Dan Patrick, and launching multiple new hit podcast series like Drafted and the Dream Team Tapes. Two weeks ago, we took that to another level with a game changing partnership with the NFL. The multi year exclusive partnership with the NFL is simple in spirit. And that's why it's successful. The NFL gives us the access, iHeart brings the audience and together will tell some of the greatest sports stories of all time. The fact that the NFL chose iHeart as their partner is further evidence of the unique position we have in the podcasting world. And we can't wait to keep you posted in the coming months as we roll out these exciting new podcast.  For those of you new to podcasting, you've been watching the recent news stories. I want to remind you that the economics in the podcast industry accrue to the publisher, not the distributor. And although we're a major distributor through the iHeartRadio app, our economics come from our publishing. Additionally, we have yet to see any evidence that's a subscription model will work in podcasting except for perhaps in select niche products.  For perspective, Netflix and other streaming video services are examples of lowering cost for consumers through a flat rate subscription versus an ala carte pricing, not increasing the cost. And in our experience as marketers, we've never seen a free product move to a paid product successfully. Having said that, we continue to watch the marketplace and as the number one podcast publisher with our strong library and podcast output, we have the ability to successfully participate in almost any market opportunity no matter what it may be. I would also like to update you on the progress of bringing our industry leading audio ad tech platform to the market. As I mentioned earlier, we successfully completed the acquisition of Triton Digital on March 31. And our integration efforts are proceeding according to plan. This acquisition, combined with our Jelli, Radiojar and Voxnest assets establishes iHeartMedia as the only company with a total audio advertising technology and data solution providing both supply side and demand side services for all forms of audio; on demand, broadcast radio, digital streaming radio and podcasting. Owning the advertising technology enables iHeart to lead the development and growth of the programmatic audio marketplace and ensures that we will be in control of the sale and yield of all of our audio impressions. It's also important to note that Triton currently provides ad tech and other services to the entire audio industry, and will continue to innovate using data and technology with the understanding that with iHeart as an owner, broadcast radio will remain a priority for Triton into the future. Additionally, we see an opportunity provide our complete audio ad tech platform worldwide. Our scale in the U.S. and the sophistication of the U.S. ad market gives us the foundation to create and maintain a leading audio tech platform. We think the global market is an interesting new opportunity for us and allows us to build a new revenue stream over time for ad tech platform. Yesterday we announced another exciting step for our podcasting business, the creation of a first of its kind, private podcast marketplace for brands. This private programmatic marketplace offers advertisers access to premium audiences at scale across iHeartMedia's vast catalogue of podcasts and enabling them to distribute their marketing to audiences across the most diverse and comprehensive library of shows in the world from the iHeartMedia podcast platform. This new technology developed through iHeart's recently acquired Voxnest assets allows brand advertisers to create their own unique tailored marketplaces, the price of their individual targeted audiences and pricing to dial up and down across the year as their marketing needs require. We're excited to bring yet another paradigm shifting product to the digital and podcast marketplace that capitalizes on our scale, our unparalleled content offerings, and the new and exciting technologies that are unique to iHeart. The scale capabilities and growth of iHeart's many product offerings also mean that we are strategically positioned to take advantage of additional TAMs beyond the $15 billion radio addressable market. Our digital businesses which continue to grow rapidly and bring new analytical capabilities to market are well-positioned to gain revenue in the over $160 billion digital TAM at the same time radio now outreaches TV. Advertisers who traditionally focused on TV are being confronted with a reach hole, a hole that can be filled by radios unparalleled reach, giving iHeart access to some of this $65 billion TV TAM. Additionally, our events business allows us to play in the $20 billion sponsorship TAM and our virtual events business increases our ability to capture additional revenue there as well. While our sights are set high, gaining even a small share of digital, TV, and sponsorship TAMs can have a material impact on iHeart's revenue growth and earnings potential. And finally, we also continue to successfully execute on our previously announced cost savings initiatives. Rich and I and the rest of the iHeart management team are excited about the success we're having in transforming iHeart into a true multi platform company. The digital audio group is well on its way to becoming our most profitable segment. But importantly, it's not at the expensive our multi-platform group, a resilient and robust business that we expect to continue to grow, innovate and through its new data and electronic trading capabilities even play in the larger and faster growing digital TAM. We continue to identify new opportunities across the audio advertising and data analytics sectors and using our unique scale and one time platforms we continue to innovate and develop new products and services for our consumers and for our advertising partners that will drive iHeart's growth.  And with that, I'd like to turn it over to Rich.
Richard Bressler: Thanks, Bob. We continue to see improving trends in the macro economic environment and our financial results continue their sequential improvement. But our total revenues remain down year-over-year and as Bob mentioned earlier, we recognize there is still more hard work to be done we continue to remain confident that our first quarter results have us firmly on the path to be back in 2019 adjusted EBITDA levels at the end of 2021 setting ourselves up for strong adjusted EBITDA and free cash flow growth in 2022 and beyond. In terms of our first quarter results, you turn to slide 9 of our investor deck. On a reported basis our consolidated revenues decreased by 9.5% over the prior year period. As Bob mentioned on our fourth quarter call, we indicated we expected revenues to be down 11% to 13%. Excluding the impact of political spending, our first quarter revenues declined 7.2%. Direct operating expenses decreased 0.4% driven primarily by lower employee compensation expenses, resulting from our modernization and cost reduction initiatives taken respond to the COVID-19 pandemic, lower variable costs associated low revenues, and as a result of the postponement or cancellation of in person events. These decreases were offset by higher variable costs in our digital audio group as a result, the strong growth in digital revenue. SG&A expenses decreased approximately 13% driven by lower employee compensation resulting from cost reduction initiatives_ respond to the COVID-19 pandemic, along with lower sales commissions, which were lower as a result of the decrease in multi-platform group revenue. Trade and barter expenses also decreased primarily as a result of the cancellation and postponement of events as to travel and entertainment expenses resulting from operating expense savings initiatives. These decreases which primarily impacted our multi platform group were partially offset by higher expenses for our digital audio group and other increases compared to the first quarter of 2020 including variable compensation across our business and corporate function. Our first quarter GAAP operating loss was $76 million, compared to $1.7 billion in the prior year quarter and our first quarter adjusted EBITDA was 102 million, compared to 140 million in the prior year quarter.  If you turn back to slide 5, I'll provide some additional color on the performance of our operating segments. The digital audio group's revenues were up 70% year-over-year, and adjusted EBITDA was up 141% year-over-year. And as Bob mentioned, in the first quarter, the digital audio group contributed 22% of the company's revenue and 39% of the company's adjusted EBITDA and importantly, did so by expanding its first quarter margins by 750 basis points year-over-year. Within the digital audio group is our podcasting business. With revenues grew 142% year-over-year. And importantly, our non podcasting digital audio revenues grew 55% year-over-year, demonstrating the importance of our broad digital offerings that are high demand despite the economic downturn. The multi platform group revenues were down 21% in Q1, down 19% excluding political continued sequential improvement, with 21% adjusted EBITDA margins, down only 310 basis points from the prior year. Within the multi platform group, our broadcast revenues, which was down 22% year-over-year, and our network's revenues, which were down 14%. Network revenues include premiere, which were down only 6%. Our sponsorship and event revenues were down 24% year-over-year, the audio and media services group revenue decreased by 9% on a reported basis, excluding the impact political and I will remind you that we saw material political spending in the first quarter of 2020 revenues were up 1%. Turning back to our consolidated results and look at the items below the line. Interest expense decreased $5 million compared to the same period in 2020 as we continue to improve our balance sheet, and reduce our cost of capital. On slide 13 there's a summary of our debt. At quarter end we had approximately $5.6 billion of net debt outstanding, which includes a cash balance of 529 million. As a reminder, the terms of our debt structure include no material maintenance covenants, and there are no material debt maturities prior to 2026. In the first quarter, we generate $53 million of free cash flow. As Bob mentioned, we also continue to successfully execute on our previously managed savings initiatives. Our pre-COVID modernization initiatives remain on track to achieve $100 million run rate by mid 2021 and in 2021, we expect to replicate the majority of the $200 million post-COVID savings. The pandemic forced us to transform the way we do business more rapidly than we could have ever imagined. And we continue to benefit from our experience and adapting quickly to these changes. The actions we have taken leave as well positioned for margin expansion as advertising activity continues to recover. As we look ahead to the rest of 2021 I want to provide you with the following. Our April revenues were up approximately 85% compared to the prior year, keeping in mind that last April was the month that was hardest hit by COVID. The second quarter, we expect revenue to be up to approximately 65% year-over-year. Our podcasting business continues its strong performance with April up approximately 170% compared to the prior year. We expect our digital audio group momentum to continue for the full year. We believe that we will back to 2019 adjusted EBITDA levels by the end of 2021. And a few things to note on our expectation for free cash flow in 2021. We will not be a cash taxpayer due to NOL carryforwards that will utilize to offset taxable income. Interest expense to be approximately $335 million to $345 million. In terms of capital expenditures there is a significant real estate reduction we are working on to drive meaningful savings. Our capital expenditures in 2021 will be $165 million to $185 million, and then return to normal levels in 2022. During the time of the real estate consolidation, capital expenditures will be more heavily weighted towards the second half of the year. We continue to make steady progress in our recovery, benefiting for our strict cost discipline, the resiliency of our high growth rate areas, and the gradual improvements to the macroeconomic environment. We believe that there's still real work ahead of us. But we're proud of the way our company, and particularly our people navigated through this challenging period. We've read the decisions we've made over the past year, leave us well-positioned to take advantage of the improvements in the advertising ecosystem driven by the innovation and diligence we have exercised this past year. We look forward to continuing our business recovery with the expectation that we'll be back to 2019 adjusted EBITDA levels by the end of 2021 and a resumption of our deleveraging activities, which was slow during the pandemic. In closing, we'd like to thank our employees who are being committed to serving our listeners and our communities. And we'd also like to thank our business partners who stuck with us during this challenging time. We appreciate you joining our first quarter earnings call. And now we will turn it over to the operator to take your questions. Thank you.
Operator: Thank you. [Operator Instructions] The first question comes from Jessica Reif Ehrlich from Bank of America. Jessica, please go ahead. 
Jessica Ehrlich: Thanks. I have a couple. Can I just start with maybe the NFL? That's seems like it should have been a very competitive fight to get that. Can you give us some color on the ramp up, the magnitude of the impact? And will you say exclusive to the teams have separate rights? Or do they want everything full on to this deal?
Robert Pittman: Well, we haven't announced all the details of it yet, Jessica. So I don't want to step into it right here. But I think your comment is exactly right that this was competitive situation. And I think the NFL really looked through who could help them the most in terms of pulling the audience together for them and as we said in our comments, it's sort of this interesting combination of we've got this audience, they've got this incredible content, together we're able to pull it together, I think, to do something no one else could do together. And I think also the opportunity to monetize it efficiently and effectively is important to them and obviously important to us. And for us we love the NFL because it sort of takes our sports programming and broadcasting to one more level. And again I think it's an indication of the sort of unique position we're in in podcasting. Not just the NFL, but overall is that if you've got a big idea, or you've got a big bet on podcasting, you'd really like to start with the biggest first. So we tend to get first look at almost everything. And not to say we do every deal but we do usually have that first conversation just as you've seen in the entertainment business over years that the biggest usually gets up first low.
Jessica Ehrlich: Great.
Richard Bressler: Hey Jessica I might add to what Bob just said is that when we've said this before with other content deals is opposition and podcasting and our ability to give somebody the highest probabilities of being successful. And as I think when you look at it that you could assume the tried and I think the NFL tells us about the probability of success.
Jessica Ehrlich: Right. I don't think you'd get any the highest level you can get. So I think and then maybe I'll just ask the other two questions. We've had great cost management, obviously, with the great quarter. What expenses do you think could come back post-COVID? And then maybe a trickier question, but you've got a couple of suitors ask for the company, is there anything you could say about the status of either or both of them?
Robert Pittman: We'll be talking about the cost is clearly we didn't pay bonuses last year. We're going to give bonuses again, there will be some travel and entertainment that will come back, but also that we had before, I think we have permanently altered how we think about travel and entertainment. And some variable costs go up obviously as revenue goes we have sales costs that go with that on a variable cost basis, but those [indiscernible] were the major thrust in terms of that will come back.
Richard Bressler: Yes and Jess just maybe from [indiscernible] yourself and the audience we are on track 100% to take out the monetization issues of $100 million by the middle of this year on a run rate basis. And as Bob pointed out, yes we have some cost coming back but we expect to replicate the majority of the $200 million of post-COVID savings we had last year. And I think third just to say to your comment up front about our ability to manage course. Again and those are already announced and on track to be implemented. But we're just always looking to be more efficient, always looking to take advantage of technology and drive more value to the bottom line.
Jessica Ehrlich: [indiscernible].
Robert Pittman: I don't think there's really anything we could probably say on the suitors. I think we've said whatever.
Richard Bressler: Yes and Jess I want to add is people recognizing the value of audio, but I think Bob's opening comment was how hot audio is and people from an investor standpoint, recognizing the equity value creation, which is great for all the people that buy our stock.
Jessica Ehrlich: Great. Thank you.
Operator: The next question comes from Steven Cahall of Wells Fargo. Steven please go ahead.
Steven Cahall: Thanks. I wanted to begin to digital audio a little bit more. So podcasts growth accelerated, non-podcast digital growth accelerated, in digital audio adjusted EBITDA growth accelerated. So it's all going great. Maybe help rein in our enthusiasm a little bit. I'm guessing you don't want us to model it up 70% on the revenue line each quarter at a mid 20% margin. So maybe just help us put the medium term growth rate at digital audio into perspective a little bit?
Richard Bressler: Well, first the fact and thanks for recognizing the growth. And I think what we said I don't think in both in Bob's opening remarks, that we expect that continued strength in growth on digital as you go throughout the year. And look, you highlighted we're up, I think it's important for us to know that podcasting revenues up 142% and we've continued that, but we talked about digital being up 55%. I think it is ex-podcasting to 70%. And so I think saying anything more than that right now, we tend not to giving more guidance. But I think we get a pretty strong indication that we expect growth to be strong throughout the rest of the year.
Steven Cahall: Okay, that's fair. And then maybe just on smart audio, I think you said it was down just 11% in Q1. Curious if it's positive in April and what percentage of multi-platform or terrestrial radio is now being sold on smart audio and any sense of how much better you monetize when you sell through smart audio like a CPM comparison or something like that.
Robert Pittman: We haven't broken out any of those numbers. And again, as Rich said we don't want to give guidance here or provide that level of granularity, but appreciate the interest in it. And we're excited about smart audio is transforming broadcast radio into a platform that can be used by digital buyers and begin the digital TAM. 
Richard Bressler: Yes. But maybe just one thing I might add to that Steven just to take a big step back and without getting into specifics again, you look at our overall first quarter results. You look at the what we talked about for the April results, you look at the guidance we gave for Q2, and you look at our general direction comments for the rest of the year. I think you could take each your questions and say, I think we're doing while we remain wildly under monetized because of the efficiency of the medium which is a great opportunity. We're clearly making great progress on our front.
Steven Cahall: Yes. And then last, maybe just Rich, a housekeeping one, thanks for the [precautionary] commentary to the NOLS extend past 2021 and as you're generating free cash flow this year, would you pay down some debt or just build some cash on the balance sheet?
Richard Bressler: Well, we'll continue. So the NOLs pretty much run out by the end of this year. So good question. So thank you for that. So everybody's aware of that. Look, I think if you look at even last year, it was challenging period of time, we generated over $130 million of cash paid down debt. We will continue to work through our free cash flow to pay down debt as we go into this year. We continue to be laser focused on the deleveraging which I think we all agree, the deleveraging and the cash flow capabilities first of this company and the delivering capabilities create a lot of equity value. And I might also just add just maybe presents a completeness. So to your point, Steven on housekeeping, if you look at other opportunities around the balance sheet, just to remind everybody we've got the eight and three [indiscernible] debts that a $1.5 billion that are coming out for refinancing. So we're also going to have the ability to improve our interest expense and cash flow attributes of the company in addition to the operating results.
Steven Cahall: Yes. Thank you.
Operator: The next question comes from Dan [indiscernible] Securities Dan please go ahead.
Unidentified Analyst: Yes. Hey guys, thanks for taking my questions. Just wanted to start off and ask if you see any specific advertising categories that are sort of leading the way here as you're seeing this dramatic recovery and ad revenues and specifically like any commentary some people have talked about radio being this ideal grand reopening advertising medium. So just any tailwind from that and then add categories that you've seen that have been particularly strong. Thanks.
Robert Pittman: It's interesting compared to the downturn the bottom almost everybody's out. Entertainment was hit particularly hard, but it's also coming back really well. And so I think we and for us, we've got great diversity of categories unlike many businesses that are heavily dependent on certain categories. There's no single category that's over 5% of our revenue and there's no single advertiser that's over 2% of our revenue. So for us having that diversity is a very important part of our revenue strategy. And again it continues through the recovery period. And you're exactly right, grand opening, there's no better way to get the message out for anything than radio. And I think also as people look to cost efficiencies, radio has always been perhaps one of the most efficient of all the media and especially compared to TV which is getting more and more expensive on a per user basis relative to radio.
Richard Bressler: Okay, Dan one point I might add is that I think what to Bob's point about in terms of both our ability nationally and local just as a reminder everybody we've got almost 2000 feet on the street, 2000 people selling advertising and we're all selling advertising, but 2000 people kind of officially selling advertising all the time. And clearly, that's a advantage for us a competitive advantage. 
Unidentified Analyst: Yes. Thanks. That's great. And then just I will ask one specifically with the NFL partnership in mind, great job on that, sports betting as a category your radio footprint isn't is sports concentrating as your peers, but you obviously have a lot of reach with the kind of millennials that they're to sign up for the app. So just any commentary on growth in sports betting category for you guys?
Robert Pittman: Yes, it's actually a great growth category, sports we actually have a couple of stations dedicated to sort of sports betting called the gambler is the format. We do a lot of play by play sports on our radio stations. We're probably not as concentrated sports because we're very diverse in terms of it. But given our large footprint and sort of two to one lead over anybody else's sport footprint even with that diversity stuff is absolute numbers a lot of sports opportunities. And we are seeing the sports oriented advertisers very interested in the sports betting. So they're playing it well, I think.
Unidentified Analyst: Great. Just Last one for me on podcasting. I mean, you guys have made your strategy clear you want read as much make it as widely available as possible. Do you see yourselves rolling out something like Apple and Spotify have done where you allow content creators to sort of monetize their content via subscription option and then maybe you take a cut of that? Is that something that was on the table here?
Robert Pittman: Well we could do anything that makes sense because we've got the big library, we've got this incredible output. What we found is that the content creators basically want to reach as many people as they can and that appears to be by far the best economic model that we make profit there make a lot of it. I think no one has yet proven that there is any subscription opportunity in podcasting. And by the way, a number of people have tried already before just Spotify and Apple have not succeeded yet. If they ever did, obviously, we've got the library to take advantage of it. But as I mentioned in my comments if you look at this business, subscription is usually succeeded where you've been able to take something that was more expensive on an ala carte basis, make it cheaper through a subscription. Instead of buying two movies a month, you pay for Netflix for the month, then you save money. In the case of podcasting, it's free. And now you're asking people to pay for something, they got free limits the size of the audience, which limits which creators won't do it and two, I think it's going to be a very small pool of consumers that will do it. We'll see. But again, if we follow the trends of consumer behavior we're not optimistic that there's anything there. But we're open minded, and we're publishers. So our goal is to maximize the value of these assets we have. But at the same time, we understand that the heart of creating any success is to make sure we have great creators, and creators want to have a bigger success, meaning reach as many people as they can.
Richard Bressler: And Dan, by the way, while we haven't spoken, it was broken out, excuse me, this specific podcasting revenue numbers or profitability. I think we've been pretty consistent and tried to give everybody a roadmap when you look at what we talked about podcasting revenue growth, while we looked at the revenue growth on digital, which is the line that podcasting is in without podcasting. And I think you've heard Bob and I say this a number of times that podcasting is a creative, total overall margins. When you read about other companies that are talking about we're looking what's the path to profitability for podcasting we've had that path since day one. And that just continues and continues to be accretive to overall margins. So it's very profitable for us.
Unidentified Analyst: Awesome, guys. Appreciate the commentary. I'll turn it over.
Operator: The next question comes from Sebastiano Petti of JP Morgan. Mr. Pettie please go ahead.
Sebastiano Petti: Hi, thanks for taking the question. Just a quick follow up on that while the subscription strategy you've kind of outlined that how you're viewing it. But longer term is that indeed successful because some of the folks playing in that camp have other revenue streams who can maybe attach other services, etc. to that. I mean, does that perhaps create potential for content wars for lack of a better term, and maybe you win by losing in terms of keeping content on the platform just maybe think of the content angle as it pertains to the subscription model. Any comments there? 
Robert Pittman: Well, I think, yes, what we've seen is we've seen in this business, that distributed content strategy appears to win, it gives people the most opportunities to get to the largest audience possible. That's what makes a hit. There very few creators that are interested in anything other than the biggest audience they can, because they want to have a hit. And so I think in terms of when you talk about content wars we're in pretty good shape on sort of like any scenario you want to run we've got this secret weapon called broadcast radio and we are able to build a hit podcast by promoting on broadcast radio, and putting that kind of firepower in the kind of reach and frequency we do and promoting it we see show up in terms of downloads almost immediately. And I don't think there's anybody else in this business has got it. Apple has heretofore been the one that using the Apple promotion has been able to help podcast get started. But I think other than that, I don't see anybody that comes close to what we've got. So for us, we're able to both go out and get major stars, whether Shonda Rhimes or the NFL or Will Ferrell. But we're also able to build podcast from scratch with people you've never heard of, but we think have potential. And I think that again, gives us the opportunity to sort of continue to build scale. And if you look at the last year, we've continued to build on our increase our share among the top podcasters widening the gap between us and everybody else.
Richard Bressler: Sebastiano, I think this time, you may have not had a chance yet, because we've just posted before the earnings call that we actually got to be invested back at only lower paid two days off. And we have the March to Bob's point, we have the March podcast, pod track ranking, which is the third party measurement standard for podcasting. So we're going to just reinforce it with numbers opposition. And I just want to go back to the first comment that Jessica opened with which to be competitive marketplace for something like NFL, and again, no different than Will Farrell or Shonda Rhimes out there, and they all chose us, which is phenomenal to be their partner because of the ability to give them the best shot of success. 
Q - Sebastiano Petti: That's very helpful. I think I did see the 30 million units in March is a very impressive number and seems to be accelerating, I believe. I mean, in April, and it seems to be accelerating from March. Just one quick follow up on the podcasting. I mean, in light of your leading position in podcasting I am just curious if there are any potential content holes, as you would describe them that you think you may have? 
Robert Pittman: Yes. It's interesting. We don't really if you look at actually across our array of categories, we're probably the only podcaster in the top 10. So therefore, anybody with any scale that plays in all the categories, and if you look back a year ago, when the pandemic first hit the number of podcasts are dropped and we did, we went up. And the reason we went up is because we were just shifted, some categories did worse, but other categories did better. And because having that sort of diverse base allows us to be in a pretty good hedge position no matter what macro trends are going on in the marketplace. And that, again, I think, is one of the unusual aspects of our podcasts in addition to our scale. 
Sebastiano Petti: Great and then one thing on that, one last question on the broadcast segment. We've talked that, you have talked about in the past that there is a lot of pent up demand there and as restrictions are lifted you see a lot of demand coming through the terrestrial segment. So anything changed this quarter that the longer term trajectory of that business can return to full return to a recovery over the next couple years call it but just anything on the broadcast segment, particularly as you're looking at to 2Q and maybe the 65% of revenue growth or how that perhaps plays into that? Any color there would be great.
Richard Bressler: Yes. I appreciate it Sebastian the question. There is really not a lot more we can say, in terms of guidance, but I think what we tried to do is go back to Q2 of last year, and show you the progress that we continue to make. And by the way, as we go into the future, the progress that we continue to make out there and I think, as Bob pointed out a number of different times the rich medium that we have on the broadcast side, being in the last rich medium in the United States and that just continues to get reinforced with the challenges that broadcast TV has had. So nothing's changed with that and we're really incredibly pleased with the progress that we're making.
Robert Pittman: And I will just add, unlike TV, which has had an audience decline we don't really have the audience issue. Ours is monetization issue. And we've felt and we've invested against it that the issue has been that the Facebooks and Googles of the world really changed how advertisers want to interact with media companies. And we have built out that electronic platform. We built out the suite of data and analytic services that they need attribution and having those pieces in place now allows our broadcast radio to play in that world as well. 
Richard Bressler: Yes, and I think just one thing, I'll also point everybody to the deck, again, if you get a chance to look at it, we put a slide in there that we had last quarter that really highlights, that we've got the only audio multi platform solution. So whether you want to talk about digital, whether you want to talk about broadcast, whether you want to talk about events and sponsorships and obviously in digital, including podcast that capability for advertisers to plan against informed targeted audience, as Bob articulated, and then particularly with the Triton acquisition, then have the ability to deliver results and measure those results nobody else has that. 
Robert Pittman: And look if I can, drag it out but I want to have one more point here, which is if you look at the macro picture, what are the advertising agencies doing and the advertisers, they're all trying to go to a unified buying platform. They've in the past bought in silos of what's regular what's on TV, and what's in print and what's on digital alternatives. And what they're trying to do and they're building it now is to building platforms where they can plan across media, different kinds of media, to put together the right plan in terms of the right impact, the right reach, and the right cost. Radio, and I guess probably outdoor are below probably the mean pricing. And so you would think that as you begin to plan all these together that probably everything converges on the mean. So that should be advantageous to radio so sort of a macro analysis. 
Sebastiano Petti: Thanks guys.
Operator: Next question and the final question comes from Jim Goss of Barrington Research. Jim, please go ahead. 
Jim Goss: Thank you. I guess more on the podcast notion. Given that you've said content creators want the greatest reach, and that should provide some leverage to you. I'm wondering what kind of, what is the nature of the financial arrangement that might be most common with your podcast publishers. And sort of on another thought you brought up using radio to promote the podcast makes a lot of sense since you have a lot of unsold inventory traditionally on radio. I'm wondering what share of your spot loads are used to promote podcasts? And how do you account for that by the way anyway?
Robert Pittman: Well, let me take the first piece is that I think if you look at podcasting and the reach we've got, I think there is probably no one that comes close to the reach we have which gives us that advantage to any podcast creator. I think on the second piece is on terms of promotion we promote podcast in commercial breaks, we promote them in promotional breaks. And we even sometimes run podcast episodes on the air. Unlike TV, which has fixed inventory, radio has, it has very flexible and variable inventory. We can create it on the fly, make more of it, make less of it. So we don't use podcasting to push out any paid advertising at all. 
Richard Bressler: Yes, and the other thing I might add, as we probably spent well over $100 million last year our broadcast inventory, promoting our podcast product, again our unique ability to create awareness of podcasts out there because you can have the best podcast in the world in terms of types content but if no one knows it's there, and you don't drive an audience to it, to find it and discover it, that's what we do [indiscernible] from an accounting standpoint I am not going to comment anything specific, but no different than all of our accounting in each of our operating segments just as you should assume, and obviously, it's been reviewed by our auditors is that we just have fair market value accounting between the two segments.
Jim Goss: Okay, and maybe one thing about your core broadcast radio operation is there some path to get it back to that pre-COVID revenue level at any point? Or maybe it's it's been sliding since before COVID ever occurred? And I guess it would be in terms of ad pricing and with all the competition it faces what do you think is that ultimate future for that business? Is it monetizing your business in these ancillary ways that will become more and more profitable? Or do you think there are some ways that the core business can come back either digitally or otherwise? 
Robert Pittman: Well, I would disagree with you that it was sliding before COVID. I don't think that was the case. I think you look back at our revenue that we did see increases in it and we think, again, going back to some of the comments we made earlier, we think that, again, unlike businesses, like newspaper, print, or advertiser support in TV, where audiences decline, that we're seeing a very stable audience here in terms of the reach in radio. So for us, it's a matter of how we're monetizing it. And what we've identified as being the biggest opportunity for us is to be able to put data and analytics on it and be able to trade electronically. We build out those capabilities now so that we have matched where the market is and we think that's been the biggest impediment to robust growth and the broadcast radio business. 
Richard Bressler: Yes, and I just think, around that, just giving any more general comments in terms of other than we continue expect to make progress. And as Bob said, the optimism in terms of going forward about the monetization would be more guidance than we've given that. 
Jim Goss: Got it and actually, I was sort of thinking that the overall levels radio [indiscernible] hadn't declined, but they had shifted to a mix of greater digital as a component, I think, so some of the traditional ad sales had declined for some years, but in favor of other areas. So I wasn't saying the whole business was declining. That would be the last thing then. Appreciate it. 
Richard Bressler: Great. By the way, we really appreciate everybody on the call everybody your questions, focusing on iHeart and look forward to continuing our conversations. And Bob, myself and Mike McGuinness are available whenever you need us. 
Robert Pittman: Thank you, everybody. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect your lines.